Operator: Good afternoon, ladies and gentlemen and welcome to the Audio Conference Call that will review Embraer’s Second Quarter 2014 results. Thank you for standing by. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions to participate will be given at that time. (Operator Instructions). As a reminder this conference is being record and webcasted at ir.embraer.com.br. This conference call includes forward-looking statements or statements about events or circumstances, which have not occurred. Embraer has based these forward-looking statements largely on its current expectations and projections about future events and financial trends affecting the business and its future financial performance. These forward-looking statements are subject to risks, uncertainties, and assumptions, including, among other things, general economic, political and business conditions in Brazil and in other markets where the company is present. The words believe, may, will, estimate, continue, anticipate, intend, expect, and similar words are intended to identify forward-looking statements. Embraer undertakes no obligations to update publicly or revise any forward-looking statements because of new information, future events, or other factors. In light of these risks and uncertainties, the forward-looking events and circumstances discussed on this conference call might not occur. The company's actual results could differ substantially from those anticipated in the forward-looking statements. Participants on today's conference call are Mr. Frederico Curado, President and CEO; Mr. Jose Filippo, Chief Financial Officer and IRO; and Mr. Luciano Froes, Director of Investor Relations. I would like now to turn the conference over to Mr. Jose Filippo. Please go ahead, sir.
Jose Filippo: Okay, thank you. Good morning everybody and thanks for joining our second quarter 2014 earnings results teleconference. As usual, we will through the presentation and then will be ready to open for questions. Let's start on page three with highlights of the businesses and first one the Commercial Aviation business. We had a strong execution in the first, the second quarter of 2014 with 29 delivers when accounted for 43 E-Jet through the first half of 2014. Regarding new E-Jet operators we added two new airlines, the Borajets from Turkish and the Royal Air Maroc in this quarter. In relation to new aircraft sales we had some good announcements starting with Aurigni Air Services with the position of 195 E-Jets and also some good activity in the Chinese market with ICBC Leasing, H&A which included current generation and each sales as well. Moving to the next page, page four. Continuing sales announcements highlight for four deals. Trans States signed a deal for 100 E175-E2; Azul signed with LOI for 30 E195-E2 with 20 options; Fuji Dream Airlines placed order for three E175 plus three options and Azal, from Azerbaijan that ordered two additional E195. As far as demand status of the E2 family, we are happy with the current figures of 590 orders and since the launch of the program that including 210 firm orders in this total. Next page, page five executive jet highlights. Starting with deliveries, like the commercial segment we also had a strong execution in the second quarter with 29 deliveries and accumulated of 49 aircraft deliveries in the 2014. Some also important milestones recognition of our products, we had the Phenom family delivering its aircraft number 500 and also the Phenoms were elected as best of the best by RobbReport, another important information for this category. As far as product capability, we had the Phenom 300 receiving certification from EASA for steep approach operation which opens up addition flight possibilities such as London City airport. Moving to next page, defense and security highlights. We inaugurated the final assembly hanger for the KC-390 along with a contract signature for 28 units with Brazilian Air Force. In relation to the Brazilian fighter program, Embraer signed the MoU with SAAB for this project. This is tied to the agreement between Saab and the Brazilian government. In relation to product maturity, our Xingu model celebrated 30 years of operation with the French Air Force and the French Navy. In relation to our controlled subsidiaries, Atech won two important contracts with Brazilian federal police and India government. And Visiona continued to advance in the satellite program, with the conclusion of the preliminary design review phase. Moving to next page, and finalizing the company highlights, to mention two MoU recently signed first one with Embraer to assess liability of critical systems in the oil and gas industry, possibilities of having contracts in this segment. And also the announcement that Embraer and Boeing signed the MoU for implementing the sustainable biofuel R&D center in Brazil. With that, we know move into the financial formation and results, we move to page nine. Starting with the backlog information, slight reduction compared with the first quarter, reflecting the strong execution in the quarter. But it’s important to recall that part of the sales that was informed in the previous pages will be included in the backlog in the following quarters. Next page, page 10, as far as delivery, deliveries we already mentioned that we have the total of 58 deliveries in the second quarter, 29 in commercial aviation and another the same amount in these active jets broken by 22 light jets and 7 large jets. We are maintaining our guidance for the year as we expect a more balanced profile between the first and the second semester. Next page, page 11, as far as revenue by segment, reflecting the good deliveries and performance all business segment showed growth in the second quarter compared to last year. We had by business $972 million in the second quarter for commercial aviation, $421 million in active jets business and $367 in defense and security, almost $1.8 billion in the second quarter. Specifically, in the defense and security segment, we saw slight reduction in revenues compared to the first quarter, in line with our indication and guidance. And by that we reaffirm our revenue guidance by segment for 2014. Next page, page 12 in terms of consolidated net revenues. We reached to $3 billion in the first semester of 2014, R$6.8 billion. We believe we are well positioned to meet our guidance for the full year which represents 6.0 billion to 6.5 billion for 2014. Next page, in relation to operating expenses, we reported 168 million SG&A expenses in the second quarter accumulating 308 million for the semester, slight increase from the first quarter in line with our indication given in the first quarter when we announced the earnings. It's important to note that the year-to-date SG&A as a percentage of sales is approximately 10%. Operating expenses continue to be one of our main focus items in terms of management and cost control. Next page in relation to operating income. In the second quarter we had 187 million operating profit with a 10.6% margin. For the first semester operating income was 279 million with a 9.3% margin. Once again, we expect a more balance first and second semester and we are maintaining our guidance figures for the year which represents the range of 540 million to 620 million in terms of EBIT and margin range between 9% and 9.5%. Next page as far as EBITDA reflecting the previous operating figures we reached to 161 million in the second quarter with a 14.8% margin 412 million in the first half with 13.7 margin. Also for EBITDA, our guidance remains unchanged for the years, to the range of 780 million to 910 million with the margin between 13% to 14%. Page 16, next page as far as net income again reflecting the good performance, we reported the net profit of 143 million in the second quarter with 8.1% margin. For the first six months of 2014, the company reported a total of net profit of 254 million and then 8.5% net margin. Page 17, next page, in relation to inventories. We reported the total of 2.4 billion in the end of the second quarter, slightly below the figures for the same period of last year. And also being monitor very close which is key for our working capital management. Pager 18, regarding free cash flow. We had an outflow of 150 million in the second quarter and 554 million accumulated year-to-date. One of the primary reason for this result was increase of approximately 250 million in accounts receivable mainly related to defense contract. Of this 250 million, 150 was already received in the very first days of July. The balance we expect to be received in the second half of the year. With that being said, we are maintaining our free cash flow guidance of low-double-digit for the year. Next page, page 19. As far as investments we had a total of 128 million year-to-date broken by 20 odd million for research, 59 million for development and 48 million for CapEx. For develop it’s good report this figure is net of supplier contribution. Although we expect high investments in the second half of the year we see some potential to end the year slightly below the 300 for development we had a balance of 220. For research we see similar trend and in regards of CapEx that should be ramping up in the remaining of the year. But summing up all of this information we are maintaining our investment outlook for 2014 of the total $650 million. Next page and finalizing this presentation in relation to company capital structure page 20. We reported a net debt figure of 114 million in the end of second quarter largely explained by the cash flow performance as discussed. Regarding our financial debt as it still show a very comfortable profile with only 4% maturing in the next 12 months, and average maturity of 5.7 years in line with our business cycle. With that we conclude the presentation we are now ready for the questions. Thank you.
Operator: Thank you. (Operator Instructions). Our first question is from Cai von Rumohr of Cowen & Company. You may begin.
Cai von Rumohr - Cowen & Company: Yes. Thank you very much. So, following the good orders you have got at Farnborough and just after, maybe you could give us some color on your comfort with your ability to kind of hold production of the RJ line until you bridge to the E2?
Frederico Curado: Thank you Cai, this is Fred. Well, as no real change from last quarter, we remain comfortable. As you may have seen the order we had from Hainan Airlines, a large operator of 190s. 40 aircraft have been training, existing new ones and changing new ones. I think reinforces our theory -- it's a good example of our theory that there is demand for aircraft right now and there is demand for both next generation aircraft down the road and the (inaudible) effect it will play an important role in that extend. So, we remain comfortable, so far, so good.
Cai von Rumohr - Cowen & Company: Can you give us some color in terms of how far you're sold out or how much is sold of ‘15 and ‘16 or where you still have slots that you need to fill?
Frederico Curado: Qualitatively ‘15 is looking good. We still have a few watch to few, but do not anticipate any issues for 2015. And ‘16 looks certainly much better than what we had maybe a year or two years ago. And keep in mind that we do expect some activity in larger quantities in United States for next year for deliveries in ‘16, ‘17 and ‘18. So, that’s where we are.
Cai von Rumohr - Cowen & Company: And then, a quick one on other expenses. It was $19 million in the quarter. I just jumped on to the call, but can you give us a little color in terms of what was in there and sort of what you expect in that line item for the year?
Frederico Curado: Luciano?
Luciano Froes: Yes. So, hi Cai, this is Luciano. So, yes, others was pretty stable, slightly down when compared to the same quarter last year. So, we have given indication, this line should hover at around the mid teens, so around 15 or so as an expense in the quarter. Note that the reduction in cancellation fees that we saw from previous years, given the executive jets environment that also translated more to again this line being balanced at this level of expense. So that’s what you can plan for that line.
Cai von Rumohr - Cowen & Company: Thank you very much.
Luciano Froes: Sure.
Operator: Thank you. Our next question is from Joe Nadol of JPMorgan. You may begin.
Joe Nadol - JPMorgan: Hi, good morning guys.
Luciano Froes: Good morning, Joe.
Joe Nadol - JPMorgan: Hi. So, first off, I was wondering if you could provide us with the segment operating margins.
Frederico Curado: Sure. in rough numbers, commercial aviation around for the quarter, around just a little bit north of 11%; executive aviation about 8.5%; defense and security about 9.5% and there is some others which is small ancillary revenues, so this is pretty much the breakdown.
Joe Nadol - JPMorgan: Okay. That’s much more even balanced than you had last quarter. I was wondering in particular on the executive side, as you look quarter-to-quarter, was the big improvement volume, was it price, just if you could make the comparison and talk a little bit about the business jet environment?
Frederico Curado: I think it's a combination of volume and mix.
Joe Nadol - JPMorgan: And more broadly speaking, what are you seeing in the market right now, the business jet demand?
Frederico Curado: We have no material change, no fundamental change from what we saw last quarter. It’s -- market has not remodeled yet. Some softening in emerging markets, I must remark, last thing that I think changes from the (inaudible) the fundamentals of the potential demand. But there has been some softness in China for example and in Brazil. Those are the markets, are important markets for any OEM. But again, I think they are more temporary that's actually the way we see it right now. So no fundamental change. And U.S. remains slow, catching up as we've mentioned in our last conversation. So it's -- there is some good news. And there is some more balancing on the rating markets. The U.S. is getting stronger. So I think overall, we got the same feature.
Joe Nadol - JPMorgan: Fred, just one more question on that. You mentioned that the emerging market, a little softer, you think it's temporary; is that across your product line or is that at the high end of or the low end specifically ?
Frederico Curado: I think it's more, actually it's a direct consequence, probably I have two different answers. In Brazil, it's part of the whole macroeconomic scenarios and uncertainty; we have elections coming up in a few months. So, it's not only airplanes, it's not only higher or lower segment, it's across all economy. So there is a caution let's say sentiment. In China, I think the question is much more on some question about the luxury items in general. So I don't think it affects a specific segment, affects, business jets affects yards, so there is -- in China, there is a sentiment now about luxury, which everybody whom I talk with think that yes, there would be an impact in the short term, but the demand is -- the potential demand is so strong that there is simply no way that this thing will be there forever. So how long that's going to rush out, I don't know. But those are the two main trends that we see in those two markets.
Joe Nadol - JPMorgan: Okay. And then just one more, your margin year-to-date is 9.3%, I believe EBIT margin usually strong during the second half as the volume goes up, your guidance looks pretty abundantly conservative at this point. What would you highlight as, I know it’s only Q2 here and anything can happen but what would you highlight as the risk that has prevented you from raising the guidance here?
Frederico Curado: Joe, you may recall that we have mentioned several times, we have been trying very much to maybe have a better balance between the first and second half. I mean I would love to have like quarters which are very close to each other as far as our revenues and results et cetera, so not much volatility. We're not there yet. So, we still see some variations from quarter-to-quarter. So having said that in 2014 we do not expect for example what we saw last year when we had first significantly stronger second quarter I mean second half compared to the first half. So we had a more balance year that’s why we had not revised upwards our guidance. We do expect equal or better half, the next half of course to get to our numbers certainly more concentrated in the last quarter. So last quarter would be certainly stronger than the third quarter, but at this stage I think probably could say that we do not see much downwards or downside risk. We are the best assessment to have is delivering the numbers some upside risk maybe, but not at all in the position to revise our guidance. So it’s considerably good I think at this stage.
Joe Nadal - JPMorgan: Okay, thank you.
Frederico Curado: Thank you, Joe.
Operator: Thank you. Our next question is from Noah Poponak of Goldman Sachs. You may begin.
Noah Poponak - Goldman Sachs: Hi good morning everyone.
Frederico Curado: Hello Noah.
Noah Poponak - Goldman Sachs: Fred, the company sort of keeps beating margin expectations on the P&L, but missing free cash flow expectations on the cash flow statement. I hear what you said on accounts receivable in the quarter, and I understand the business is pretty lumpy from a working capital and CapEx investment perspective. But just if I take a step back, big picture free cash conversion has been pretty weak, going on four years in a row now. I just wondered if you could talk about how much you're looking at that, how much it concerns you, how much you're trying to change it, and what you can do to change it? And to the extent that you can talk about at least the big working capital and CapEx items in 2015, 2016, so that we can see how cash progresses as we move forward, that would be really helpful.
Frederico Curado: Thank you, Noah. It’s a very, very good question. We certainly as I think to your question, last quarter maybe I was wrong, I don't remember or Joe’s. We absolutely look at cash as one of our key performance indicators. I mean we did have this let's call it abnormal situation where $150 million which we did expect to be received in the last quarter, they were paid in the first days of July. So, we should have broken even on the quarter and this $250 million if you compare the position of our year end 2013 to where we are now or to second quarter this $250 million which I mean this should have been converted from accounts receivable to cash. And that would pretty much put us in line with our planning, to deliver our expected figures of breakeven at the end of the year or slightly positive. I think single, low double-digit is our outlook. I think it's quite an achievement, that we have to take into account we are IFRS, we and we are developing significant quantity of that programs in parallel. So, for the volume investment that we have it’s -- we must look at Embraer in a more let’s say longer cycle, if you’re looking for let’s say classic one to cash conversion ratio. We are in a period that we’re investing heavily in all three of our businesses in business jet with new models just a few days from a certification, the other one next year, E2 of course is a big investment and the KC-390 as well and several other smaller programs. So, I think it’s -- if we’re able to deliver our slightly positive free cash flow by the year-end then all investments that we have been endeavoring I think we see as a very solid results as far as cash. We really have to declare for about these accounts receivable so we do not really get this out of control so, I think that’s where our focus is as far as cash.
Noah Poponak - Goldman Sachs: Okay. I mean, are ‘15 and ‘16 conversion likely to be better, because there is a little bit of a gap between what you’ve been doing in the executive jet business and the timing of E2 investments, or are E2 investments earlier than that suggests, plus you still have stuff going on in the defense segment or is it just too early to tell?
Frederico Curado: It’s early to tell, Noah we believe it’s fundamentally we’re already engaging that the new resources we’re freeing from executive are being engaged in the E2, it’s a very respectful ramp up as far as engineering resources and very preliminary, very qualitative output. I don't see any fundamental change, of course as we refine the numbers towards year-end we're going to have a better picture.
Noah Poponak - Goldman Sachs: Okay. And then just one other question I had in the commercial jet business as reading some press or over the past few days it's been out on the Brazilian government putting out some more details on a regional aviation development program. I actually haven’t heard you guys discuss that a time in the past. Is that something that can actually move to needle for your order book over the next six to 18 months or what are you seeing coming out of that?
Frederico Curado: Moving to needle, we are I mean the program is -- I think is very important attempt to develop or I would say to recover what the country had many years ago. To go back 25 years ago we had something like to 250 to 300 CDs with commercial service in Brazil. The number today is less than 50% of that believe it or not, so the airports are out there, nobody is flying to them. And there is a lot of reasons for that but the question is the government has of course understood that regional aviation is, especially for Brazil with a country with so large territory and so let's say restricted infrastructure for roads and for railroads. So flying is really the way of people use to be moved from place to place in Brazil and could you mind to have forest which is 50% of our territory. So it's a country which naturally deserves, requires aviation service. So by stimulating regional flying, it's kind of do not have to be very optimistic to see that this thing really flies and looks like is company is very serious about it. We should be able to sell more aircraft not only to Azul, but also to other airlines which currently to not operate regional jet. So will that move the needle, we hope so. But we have to see how this thing is implemented, several of these measures, several of these items went to Congress so they're not excluded to the executive branch. So we have to see how fast Congress passes those, this is a legislation or whatever they have to approve. But I think it’s good news on the home front for us.
Noah Poponak - Goldman Sachs: Okay. Alright, thanks a lot.
Frederico Curado: Thank you.
Operator: Thank you. Our next question is from Pete Skibitski of Drexel Hamilton. You may begin.
Pete Skibitski - Drexel Hamilton: Good morning, guys. Nice quarter.
Frederico Curado: Thank you, Pete.
Pete Skibitski - Drexel Hamilton: Frederico on the Legacy 500, is that on track for first delivery will see one delivery in the third quarter?
Frederico Curado: Yes. Well, first of all we have to get a this certification, which I said was by the end of July, which is today. Our real needed for a few days, I mean it's everything it is already delivered, everything already with our certification authority. I mean we do expect within any day to have this certification of Legacy 500. And as far as production not short I think it sounds right but one or two deliveries in the first quarter. I think both six airplanes we are planning to produce this quarter, I mean this year, this second half.
Pete Skibitski - Drexel Hamilton: Okay, that's great. And then I want to ask couple of questions. One on the [FX-2]. It's just some of the stuff in the press leads me to believe that maybe when the contract is finally signed up on and it sounds like it's getting close to that it could potentially be maybe much larger for you guys than maybe expectations a year or so ago? So, I was just wonder if you could tell us maybe what your expectations are for your cut of the FX-2 program and maybe when you think the contract will be finalized?
Frederico Curado: I think that’s a very, very assessment and as we now know a little bit more about the program and we have of course have been interfaced with SAAB very intensively in which role we should play. I think it’s fair to say that today we probably see a larger role than what we saw before the contract was, before SAAB was selected. The contract is still under negotiation between SAAB and the Brazilian Air Force, so they are the prime contractor. The expectation that the contract will be signed before year end in parallel we are working with SAAB to define exactly what their role is. When we talk about eventually producing the airplanes in Brazil in our plants in Gaviao Peixoto. I mean this is certainly, this will bring higher potential revenue for the companies and also SAAB asked us to kind of coordinate or manage like a super first year supplier to the program and we are organizing coordinate all efforts in Brazil this of course increases our role as well. On top of those two points there will be development for a new version of the airplane which is the twin two seater version of the airplane in which we also were positively surprised that we probably have a higher participation in that development than what we foresaw sometime ago. So, I think to your question, the answer is yes, we see a potential higher importance of the program for Embraer at this stage. As we go down the road and to the end of the year, we're going to have some more precise understanding and figures, I suppose about that.
Pete Skibitski - Drexel Hamilton: That's great, great news. And then just one last question if I could. I think I saw during the quarter some positive developments regarding extending the INSS, the payroll tax break. I'm wondering is that your understanding as well? Is the payroll tax break going to be extended? And when do you think we'll know for sure about that?
Frederico Curado: Yes, it is. I mean this is not only, of course not only for aerospace, for, I don't know, tens and tens of sectors, industrial sectors in Brazil. This is really I'd say a need for the Brazilian industry in general and that's also for the service sector. The government has stated that this is for good. It does depend on some congressional confirmation. But I mean we believe this is going to happen even before the election. So, it's something which is important for Brazil to be more competitive. Our industry is losing competitiveness and this will certainly help the Brazilian industry and also the service sector to regain competitiveness. So we expect to be permanent.
Pete Skibitski - Drexel Hamilton: Okay. Within the next two months?
Frederico Curado: Yes, I mean it's hard to put a deadline on anything in congress. But I mean this is what we have been hearing and reading recently.
Pete Skibitski - Drexel Hamilton: That’s great. Thanks very much.
Frederico Curado: Thank you.
Operator: Thank you. Our next question comes from Eduardo Couto of Morgan Stanley. You may begin.
Eduardo Couto - Morgan Stanley: Hi, good morning guys and congratulations on the results. I have two questions from my side. First, on the regional aviation plan, Fred, just getting back to that a little bit, given the idea of the government to launch this regional planning in Brazil, arriving the beginning of next year, can we assume that if the plan really goes through early next year; we may see potential orders, even for the first generation of E-Jets, maybe from new customers in Brazil? Is it something possible? And also, how have been your transition right from the E1 to the E2? And a second point, are you more comfortable now for the transition, given that you got some orders from China, there is this regional aviation plant in Brazil. So what’s your view for the transition now vis-à-vis like six months ago?
Frederico Curado: Okay, thank you. Yes, so, as you know, the package, some actions we’ve implemented earlier and some we will implement directly like stimulation of regional flights out of [company], so that should improve the demand for smaller aircraft. But several of the directions will depend on congress. So it’s very tough question to answer, should we expect more in the next six months, I think probably unlikely. I kind of stick to those timeframe of 12 to 18 months more likely, yes. So yes, definitely that may be -- they may be good tailwinds for [U1] and for the transition which by the way we see as we advance, I mean we remain comfortable. We are having orders of [U1s]. So in 2015, we do expect some activity in United States in larger quantities for 175 replacing 50-seater. So, ‘15 looks good at this stage; ‘16 looks good, actually two years out, and ‘16 and ‘17 and ‘18 the bulk of that demand probably we will start seeing some activity in more meaningful numbers in 2015. So, so far so good. We are -- I mean we are not fundamentally feeling different from what we felt last quarter, we feel good about it.
Eduardo Couto - Morgan Stanley: Okay. And just another point Fred, regarding taxes in Brazil. There is the tax rebate on for Brazilian exports, they’re [Entrega] and I think the government is bringing it back. Can you comment a little bit about the potential impact from this tax rebate on exports on Embraer?
Frederico Curado: Sure. Again Eduardo, as you know, we are both based in Brazil. The tax system in Brazil is very cumbersome. And with few support taxes, everybody supports cut export taxes. So (inaudible) I think is an attempt of the government to somehow compensate for this situation which will only be resolved if you have profound tax reform which God knows when that may occur. So it's a very important instrument, because it's -- although it's not mathematically perfect, but it's an attempt to kind of offset this cascade of taxes that we embed in products before export and that take away comparativeness of busy exporters. Now the way this was brought back to the active stage, I mean the way they are bringing back [Entrega] does not give us any certainty about -- it will be available and in which volume but it will depend on the budget of the government every year. It will also depend according to Minister of Finance, declaration; it will depend on the exchange rates. So it's a mechanism which is there, but we do not know whether or not to be use in which amount year-by-year. So we fundamentally cannot use that in our planning. It happens that say if 2015 the [Entrega] is 15% fine. But this stage, we cannot use that as let's say an assured cost saving or tax reduction in our planning.
Eduardo Couto - Morgan Stanley: But if you're not getting any benefit right, if there is something next year would be incrementally positive, right?
Frederico Curado: No, nothing real, I think some residual from last year I guess, but this is not. The answer is maternally not.
Eduardo Couto - Morgan Stanley: Okay. Thank you, guys and congrats.
Operator: Thank you. Our next question is from Myles Walton of Deutsche Bank. You may begin.
Myles Walton - Deutsche Bank: Thanks, good morning guys. I was hoping to get a couple of questions in on the KC-390. And the first one is whether or not you'll get any type of cash advance of material size when that contract is signed? And the second part of that is whether and to what extent the delivery – the first flight of the KC-390 is an important cash milestone and/or profit recognition event for you?
Frederico Curado: Myles to the first point of cash, yes there is always some down payment, I don’t think there is anything I mean meaningful I sincerely do not know, it’s probably nothing which is meaningful, it’s embedded in our plan in anyway. And as far as economic recognition first flight, no we incur I mean no meaning we are not a bump in revenues or economical impact the first flight it’s just continuation of the development and we have accruing this across and there revenues I think almost monthly. So it’s just an event we are not triggering I think large.
Myles Walton - Deutsche Bank: Okay…
Frederico Curado: It’s an important event though because we bet we can really initiate the flight desk campaigns so that’s much for the program it’s a very important event for the cash flow the program it’s part of the plan.
Myles Walton - Deutsche Bank: The first flight, I guess I was more thinking of it maybe as a risk and the sense of you're quickly coming up on when you probably should be putting in the final assembly together. Power on should be occurring probably in the next couple of months in prep for the first flight. So, I was more looking at it as a risk from any excess cost or delays. But it sounds like you're still looking at end of year?
Frederico Curado: Yes. Challenging, but the airplane is the fuselage is totally assembled now. We are starting to make the wings with the fuselage. And as you said, probably yes, in the next couple of months. Do we have the roll out date for?
Jose Filippo: Yes.
Frederico Curado: Yes, we do have a roll out Myles schedule for end of October, it's tight but doable.
Myles Walton - Deutsche Bank: Okay. The other one I had was that you mentioned the lower development and research runrates versus your plan. And just curious, is that because you're getting larger risk sharing than you anticipated or is it because you're under spending and just any color on that. Thanks.
Frederico Curado: Yes. We have on the year and that was planned. We have a higher concentration contribution in the first half than in the second half. Having said that, we are very unlikely that we're going to surpass let’s say the figure 300 million number in development. So probably we just take of the south of 300, maybe a little bit less in research as well. And CapEx to the best figure we have is sticking to the 250. So, overall we probably not going to reach the full $660 million, it has to be a little bit below, without of course jeopardizing the physical advancements of the program. It's just a question of better execution than what we planned.
Myles Walton - Deutsche Bank: Okay. Good enough. Thanks, guys. Good quarter.
Frederico Curado: Thank you.
Operator: Thank you. Our next question is from Ron Epstein of Bank of America. You may begin.
Ron Epstein - Bank of America: Yes, hey good morning. Just maybe a couple of quick follow-on questions, because I think most, everything has been covered. But one thing we didn't talk about is the sales campaigns. And what should we think about for the second half of the year? I mean we’re coming off Farnborough which was congratulations, a really good period for you guys. But what should we think about in the second half of the year?
Frederico Curado: Ron, good morning first of all. We have to make sure that what we have announced some are still LOIs and some still required some financial documents and approvals or whatever. So we have to make sure that we convert all that into firm so that’s going to be - this has not been recognized in our backlog. So, our backlog does not reflect yet all those sales it’s a priority for us in the second quarter in the next several weeks. And we have campaigns literally all over the world, no fundamental change spot opportunities in Europe, spot opportunity in Latin America, little bit slower demand in Middle East, but it is not so much meaningful 175 in service in United States is doing really well. I mean airplane has been extremely well accepted by the airlines flying it and so that makes us more optimistic for new orders which maybe not happen this year but next year we do expect some orders in United States. So, it’s a mixed bag and overall as I said in the previous question, I mean we’re in a relatively comfortable situation as far as 2015 and the three years before the each business service.
Ron Epstein - Bank of America: Okay, great. And then may be just one more detailed question, a little while back you guys announced that you are doing a JV with Zodiac for aircraft interiors. And then it's my understanding a piece of the interior on the new E2, you guys are doing wholly owned subsidiary. Broadly speaking what is the strategy with aircraft in two years now and do you have any thought of actually selling aircraft interior components outside of Embraer?
Frederico Curado: Good question Ron. We do have a JV with Zodiac to translate EZ, it's in Mexico as a 50-50 joint venture. And they provide interiors for the E-jet. So that's clearly one strategy and we also acquired couple of years ago the control of a small company in California it's called EST Interiors they've been more dedicated to seats. And we have been introducing those seats in some of our business jets. We are thinking about whether or not we could also use that company to make first class seats for the e-jets. So if you still have those two let's say actions or tactics in deployed, our vision is today much more that we want you to have more and more vertical capability of seats and interiors at Embraer. We do not have the view to become an OEM of seats or OEM of interiors to provide to other companies. But we definitely are investing, having more verticalization of those components in our aircrafts over time.
Ron Epstein - Bank of America: Okay, great. Thank you very much.
Operator: Thank you. Our next question is from Stephen Trent of Citi. You may begin.
Stephen Trent - Citi: [Foreign Language].
Frederico Curado: [Foreign Language].
Stephen Trent - Citigroup: [Foreign Language]. Excellent. Thank you for the time, gentlemen. Just one thing looking at the movement that we’re seeing from the BRIC countries to create this big fund for the group, are you seeing any kind of new potential opportunities there? And then related to that question, there has also been some recent controversial comments from some governance bodies regarding the conflict in Gaza and between Gaza and Israel. And have you seen any impact at all in your business or in your dealings with affiliates like Elbit Systems or anything like that or is it business as usual in the backdrop of these geopolitical whips?
Frederico Curado: Thank you, Steve. I suppose you want me to ask in English, right, not in Portuguese.
Stephen Trent - Citi: Obviously English for that until the call.
Frederico Curado: Okay. So, thank you. And there is a contribution to our cause perfect Portuguese. Well, no, I mean this BRIC’s bank, we read about it in the press, no contact, I mean it's I think we know as much as you, probably less than you about that. And we are certainly not counting on anything, if there is in the future funds available for either research or whatever, fine. But no, it’s not in our radar yet as far as anything to be included in our plans. Gaza, well, I did not completely seminary but I did go to -- I have a little bit of knowledge about that region as far as Biblical and pre-Biblical times. It’s a very, very complex issue. Unfortunately it’s 5,000 years of conflict. I think business is above that. We are -- to your question specifically, we do not have seen any change whatsoever in our relationship with Israeli companies or airlines or Arab airlines which fly our aircraft I mean I think Brazil is very far from the region and not a real part of that historical quest.
Stephen Trent - Citi: Great. Very helpful, very helpful. And just a quick follow-up to Joe Nadol's question earlier, any chance you might be able to give us at least broadly the gross margins per segment for the quarter?
Frederico Curado: Yes, give me a second. Yes. So commercial aviation around 22%, and executive aviation as well, little bit higher than 22% and defense and security about 20%. So overall, 21.9%.
Stephen Trent - Citi: Okay. Very helpful. I'll leave it at that. Thanks very much, guys.
Frederico Curado: Thanks Steve.
Operator: Thank you. Our next question is from Ravi Jain from HSBC. You may begin.
Ravi Jain - HSBC: Hi, good morning. I just had a couple of quick follow-ups. One is on your commercial jet segment. What is your expectation on orders from Europe, let's say, in the next 6 to 12 months, given that of course growth has recovered but still remains pretty sluggish there? And of course, the E-Jet mix is a different. I think it's more in the 190s than 195s, but do you see also a similar trend in margins like we saw the margins of E175s in the U.S. orders lately? And the second question was just a little bit more color, if you could give us, on the cost-control initiatives and your outlook for the second half?
Frederico Curado: The first part of your first question when you ask demand from where I couldn't get, of Europe, all Europe?
Ravi Jain - HSBC: Yes
Frederico Curado: Spot opportunities. We have options, we have a very strong European base on the E-Jet. So, from time to time we had opportunities of new orders or confirmation of options. It's good in the sense that it's not bad, it's there and it's happening, not in big quantities. But it's from time to time it's over the 1s, 2s and 3s, so all over the continent. We have as I said a very strong European base. As far as mix we are moving, so I mean probably seeking significantly from 190 to 195 to 175. So this year the overall balance of the year is (inaudible). Yes, so this year we should see something like two thirds of 175 that gives you one third 190, 195, which is a significant shift from past few years and probably will stay. As far as cost controls and we mean we are with the same stance that we have been adopted in the last several years, Filippo mentions our efforts in SG&A so it’s I call it a war against SG&A and we are I think so far winning this war not letting it grow up. And all the efforts of course also manufacturing and productivity and quality, so nothing significant, but this is a absolute focus of the management of the company and it remains.
Ravi Jain - HSBC: Thank you. That’s helpful.
Frederico Curado: Thank you.
Operator: Thank you. This concludes today’s question-and-answer session. I would like to invite Mr. Frederico Curado to proceed with his closing statements. Please go ahead, sir.
Frederico Curado: Just to thank everyone for the attention and consideration. And talk to you in the next three months. Thank you. Have a nice day.
Operator: That does conclude Embraer’s audio conference for today. Thank you very much for your participation. Have a good day.